Katherine Tonks: Welcome, everyone. With me on the call today are John Evans, our CEO; and Ricardo Rosa, our CFO. And the results press release is available for download on our website along with the presentation slides that we'll be referring to you on today's call. May I remind you that this call includes forward-looking statements that reflect our current views and are subject to risks, uncertainties and assumptions. Similar wording is included in our press release. I'll now turn the call over to John.
John Evans: Thank you and good afternoon, everyone. I'll start with the highlights from the second quarter before passing over to Ricardo to cover the financial results and an update on the cost reduction plan, and then I'll discuss our recent success in Renewables. But first, on Slide 4, a quick update on the market conditions as they've evolved over the last few months. Dealing with coronavirus remains a priority for our operations. We now have well-established processes in place to reduce the risk of infection amongst our fleet and onshore bases. After the cases onboard the Seven Sun in April, we've had no further significant outbreak, and we have continued to deliver projects to our clients. We estimate that the virus has cost us approximately $30 million in the second quarter, and barring any further cases, we currently anticipate the impact to reduce in the remainder of the year. Since we last spoke, the price of Brent has increased to over $40 a barrel, and visibility in our workload for the second half of this year has improved. However, we continue to discuss requests from clients to reschedule work. And there remains some uncertainty surrounding activities in the Middle East, where some of our projects have been on hold since COVID-19 restrictions were, has been posed. The highlight of the second quarter was certainly Renewables, where momentum continued despite the challenges presented by the macro environment. We'll discuss the recent awards and the outlook for this business later. Turning to Slide 5 and our financial highlights for the second quarter. Against the backdrop of low oil price as well as the complexities of coronavirus, Subsea 7 continued to deliver on the elements within our control. Our activity levels in the first quarter remain subdued, with revenues roughly unchanged from the levels reported in the first quarter. Adjusted negative EBITDA was $9 million, including a restructuring charge of $104 million. Excluding this charge, adjusted EBITDA was $95 million. Thanks partly to active working capital management and tight control of operating and capital expenditure, we reported strong cash flow generation, and cash increased by $144 million since the first quarter. In addition to a strong balance sheet, access to liquidity was further enhanced this quarter with a 2-year extension of our revolving credit facility, which remains undrawn. We ended the first quarter with a solid backlog and it continued to build in the second quarter. After some significant wins for SURF and Conventional in the first quarter, Renewables stole the limelight this quarter, with a record $1.7 billion in new orders, boosting our backlog to $7 billion. Turning to Slide 6 and our operational highlights. In the second quarter, we were active in the Gulf of Mexico, commenced pipeline for Mad Dog 2 and the Manuel project, which will use our Electrical Heat Traced Flowline technology. In Norway, Seven Arctic finished the installation of a final bundle at Snorre, and Seven Oceans commenced offshore operations on Johan Castberg. Whilst in the UK, the Seven Borealis was busy installing the pipe-in-pipe system on Arran field.  Excluding a 3-week outage on the Seven Sun, once we changed crews after COVID-19 outbreak, the utilization of the PLSVs was higher in the quarter. The Life of Field business unit continued to work on its 3 long-term contracts in Azerbaijan, UK and Norway, and also executed some IRM work in the Gulf of Mexico. The Renewables business unit marked the milestone with our cable lay vessel Seaway Aimery, completing its first project in the U.S. off the coast of Virginia. Unfortunately, during the quarter, we had an incident onboard the Seaway Strashnov on the Triton Knoll project in the UK The vessel is now back at work and with the help of a third-party vessel is making progress towards delivering the project on schedule. Turning to Slide 7. Despite the sharp reduction in tendering activity since March, Subsea 7 booked awards totaling $2 billion in the quarter, including some significant wins in Renewables as well as some smaller awards in SURF and Conventional. Renewables booked a record $1.7 billion of new awards, taking its backlog to $2.2 billion or 31% of the total for the group. We're currently active on offshore wind projects in all the key arenas, including the UK, Netherlands, Germany, the U.S. and Taiwan. In SURF and Conventional, despite tough industry conditions, we announced 4 new awards in the Gulf of Mexico, the UK and Norway. The Hod contract was awarded after the announcement of, in Norway, of a tax relief package, and it will see Subsea 7 continue its strong relationship with Aker BP. Overall, within the $7 billion, our workload for execution for the remainder of 2020 is around $2.1 billion, whilst our backlog for work in 2021 rose 70% in the quarter to $3.4 billion. And now I'll pass you over to Ricardo to run through the results in some more detail.
Ricardo Rosa: Thank you, John, and good afternoon, everyone. Slide 8 shows the highlights from our income statement. Group revenue in the second quarter was $754 million, down 21% from the prior year, but broadly in line with revenue recorded in the first quarter of 2020. The low levels of diving activity in the UK North Sea as well as the absence of conventional work in Africa and the Middle East, which were features of the first quarter, continued throughout the second quarter. The rephasing of some contracts also contributed to the revenue decline. The adjusted negative EBITDA was $9 million, including a $104 million restructuring charge related to the implementation of our cost reduction program. Excluding the restructuring charge, adjusted EBITDA was $95 million, down 44% year-on-year. Relatively low levels of vessel utilization for this time of the year and costs associated with the incident on Seaway Strashnov contributed to the decline. In addition, we estimate that the operational and logistical challenges presented by COVID-19 adversely affected the quarter by approximately $30 million. Excluding the restructuring charge, the percentage margin for adjusted EBITDA was 12% for the quarter compared to 18% in the same period last year and 3 percentage points higher than the margin recorded in the first quarter. Reflecting the deterioration in market conditions and downward revisions to forecast activity levels, the group has recorded a $578 million charge to impair most of the goodwill remaining from the merger in 2011. In addition, the quarter includes a $229 million impairment of property, plant and equipment and right-of-use assets, in both cases, mainly relating to vessels. The net loss was $922 million in the quarter, equivalent to a diluted loss per share of $3.06. Slide 9 provides additional details on the $104 million restructuring charge related to our cost reduction program, which I will update you on next. This charge is mainly related to the expected cost of reducing the workforce and exclude the impairment charges I highlighted previously. The charge has been recorded in the corporate segment and allocated between operating and administrative expenses as appropriate. Therefore, it does not impact the results shown for the individual operating business unit. Turning to Slide 10 and progress on our cost reduction program. As announced in April, we are targeting an annualized cash cost saving of $400 million by the end of the second quarter of 2021. We are planning a net reduction in our fleet of up to 10 vessels, stacking owned vessels and releasing chartered tonnage. To date, we have returned 2 chartered vessels to their owners and stacked 2 of our owned vessels. Our workforce will be reduced by up to 3,000 people, of which approximately 2,000 will be nonpermanent employees and around 1,000 will be permanent employees. Employee consultation processes have commenced where appropriate. Capital expenditure in 2020 is expected to fall in the range of $230 million to $250 million, including approximately $80 million on completing the construction of the Seven Vega, dry-docking of vessels and smaller investments in digitalization and technology. By 2021 and 2022, CapEx is to be kept at minimal levels, probably less than $130 million per year. Slide 11 shows a summary of the changes to the fleet to date, which will be updated each quarter. During the second quarter, Skandi Acergy and Paul Candies were released from their charters and Seven Antares and Seven Inagha, both based in Nigeria, were stacked. The number of vessels in the active fleet thus fell from 32 vessels to 28. We plan to release up to 2 more chartered vessels and stack up to 5 more owned vessels by the second quarter of 2021. Seven Vega is currently being commissioned and is due to enter the active fleet in the third quarter of this year. Slide 12 shows additional details of the income statement. Excluding the restructuring charge, administrative expenses improved by $7 million when compared to the first quarter, and $5 million against the prior year quarter, reflecting the implementation of our cost-reduction plan. Depreciation and amortization decreased by $4 million since the first quarter and $13 million compared to the prior year, reflecting the exit from the fleet of Seven Pelican and Seven Mar, the former recycled and the latter classified as an asset held for sale. Included in the second quarter is an impairment of property, plant and equipment of $212 million and an impairment of right-of-use assets of $17 million, both mainly relating to vessels. Of the combined impact of $229 million, $195 million has been recognized in the SURF and Conventional business unit, while $14 million is recognized in the Life of Field business unit and $20 million in Corporate.  Following this quarter's $578 million impairment charge, the goodwill balance is $106 million and relates solely to our Life of Field and exodus businesses. Despite the $938 million loss before taxes, the tax credit was only $17 million, reflecting the limited effective tax relief available on the impairment and restructuring charges recognized in the quarter. On Slide 13, we summarized additional details of the underlying performance of the operating business units after excluding impairment charges. The SURF and Conventional business unit generated $626 million of revenue in the second quarter, 25% lower than the previous year, mainly due to the low levels of diving activity in the UK North Sea, absence of conventional work in West Africa, reduced activity in the Middle East and the rephasing of certain recent awards. Renewables and Heavy Lifting recorded $66 million of revenue, 35% higher than the same period last year, largely driven by activity on the Triton Knoll project. Life of Field revenue in the quarter was broadly in line with last year at $62 million. SURF and Conventional's net operating income was $6 million, reflecting the factors previously highlighted as well as the adverse impact of COVID-19 on activities, both onshore and offshore, which we estimated at approximately $30 million in the quarter.  Our net operating loss of $26 million was recorded for Renewables and Heavy Lifting, largely due to extra costs incurred by the Triton Knoll project as a consequence of the delays on the project and the incident on the Seaway Strashnov. Life of Field generated net operating income of $6 million in the quarter, a $9 million improvement on the prior year period, reflecting measures we have taken to rationalize activities and costs. Slide 14 shows our cash flow waterfall chart. Despite challenges associated with COVID-19 in the market downturn, cash generated from operating activities in the quarter was $219 million, driven by favorable movements in both net operating assets and liabilities of $235 million. This movement was mainly due to very active management of our working capital, which included success in settling certain long stand, outstanding receivables. The improvement also reflected reduced working capital needs in the Middle East, in line with current low activity levels in that region as well as increased liabilities arising from the restructuring charge. Our capital expenditure in the quarter was $33 million, $54 million less than the prior quarter with reduced spend on Seven Vega, and we incurred $26 million in lease payments mainly related to chartered vessels. At the end of the quarter, we had $483 million in cash and cash equivalents, an improvement of $144 million from the first quarter. Our net debt position decreased by $225 million to just $30 million with reductions in both borrowings and lease liabilities. As John mentioned, during the quarter, we extended the maturity of our $656 million revolving credit facility by 2 years to September 2023. It is currently undrawn as is our euro commercial paper program, which itself equates to approximately $740 million. To conclude, Slide 15 gives an updated view of the full year. In April this year, we withdrew our guidance for 2020 due to the high level of uncertainty regarding a number of factors that impact our business, including COVID-19, delayed FIDs as well as the rephasing of existing contracts and award of new orders. Visibility for the remainder of this year is now improved, although significant uncertainty still remains, particularly regarding the potential impact of a new wave of COVID-19 cases on our operations and the macro environment in general. We expect 2020 revenue to be broadly in line with the level achieved in 2019. This includes the rescheduling of Sangomar, Barossa and some Middle East activity as well as relatively low levels of escalations and spot work. Adjusted EBITDA, excluding restructuring charges, is expected to be in line with current market expectations. Our administrative expenses are expected to range between $230 million and $240 million, including restructuring charges of $14 million. Our net finance cost is expected to be between $15 million and $20 million, while depreciation and amortization expense is expected to range between $440 million and $460 million. Our tax charge for the year is anticipated to be in the range of $10 million to $30 million. As previously guided, capital expenditure in 2020 should be between $230 million and $250 million. I will now pass you back to John.
John Evans: Thank you, Ricardo. Now I'd like to return to a slide you've seen before on our strategy. Last quarter, we discussed in some detail our initiatives regarding the Subsea Field of the Future. And today, we will turn our attention to the Renewables element of our strategy for the energy transition. Subsea 7, through its subsidiary Seaway 7, had been involved in offshore wind business for more than a decade and has established a strong track record in installing both foundations in inter-array cables as well as executing 4 EPCI contracts. To date, we've installed systems on wind farms generating 3 gigawatts and up to power approximately 3 million homes. And we're currently working on projects totaling another 5 gigawatts and up to power a further 5 million homes. In fact, installation contracts covering some 424 foundations and associated cables were awarded in the first half of 2020, and Subsea 7 won the contracts to install over 2/3 of these. Recent projects have span the globe from East Coast U.S. to Asia, but now let's look at a couple of case studies in Europe, starting with Seagreen on Slide 18. Seagreen was a major success for us this quarter, with an award totaling approximately $1.4 billion. It's our second EPCI contract for SSE, and we will again be managing the engineering, procurement and installation of the balance of plant scope. This will cover 114 foundations and 330 kilometers of inter-array cables, which will generate 1.1 gigawatts of wind power. We've already started work and should be complete on the engineering phase in around 3 months' time, with the bulk of the procurement to come in 2021 and the offshore phase mainly in 2022. It's interesting to note that Total has joined SSE as an equity partner on the Seagreen project. This is part of the energy transition of our existing oil and gas customers. On Slide 19, we have another of our recent successes, Hollandse Kust Zuid for Vattenfall, one of the largest offshore wind developers in the world. Significantly, this will be the Netherlands' first subsidy-free project and will represent 1.5 gigawatts of wind power. Our integrated contract includes installation and transportation of 140 monopile foundations and 325 kilometers of inner-array cables. It will be the first time we will use dynamic positioning during installation, a technique we transferred from oil and gas, and one that should save client time and increase cost efficiencies. Offshore wind is a high-growth market that offers Subsea 7 many opportunities for the future. And I know many of you have questions about it. With that in mind, in mid-September, we will host a half day of presentations and Q&A dedicated to this topic. You will receive an invitation to this virtual event soon. On Slide 20, we have a view of the outlook for awards in the coming 12 months. Whilst tendering activity for oil and gas projects remains low, we see opportunities in the Gulf of Mexico and Norway. We're also seeing the first offshore carbon capture opportunity for Equinor on Northern Lights, another sign of the energy transition taking place.  In Renewables, we're working on tenders in Europe, the U.S. and Asia. These are likely to be smaller contracts that diversify our backlog and allow us to continue to build on our credentials around the globe. To summarize, we'll turn to Slide 21. We finished the second quarter with strong cash generation and a very robust balance sheet with excellent access to liquidity. Despite the prevailing conditions, order intake was high, and we have a solid backlog of work for execution this year and next. The outlook is mixed with challenging conditions in the oil and gas market, whilst Renewables has strong momentum that continues to build upon an enviable track record in offshore wind. Our cost reduction plan is on track and should ensure that we reduced capacity to mitigate the impact of the market downturn, whilst retaining core capabilities and the flexibility to adapt as the outlook develops. And now, Ricardo and I will be happy to take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Haakon Amundsen from ABG.
Haakon Amundsen: Yes. Two questions for me, please. First one, and I appreciate that you'll have a Q&A on the Renewables segment in September, but I was wondering if you could elaborate a little bit on the synergies that you have, having this kind of growing, and this growing business included in the Subsea 7 portfolio rather than having it as a separate business? That's my first question. And the second question, just if you can give us an update on the discussions you have with Petrobras regarding the PLSV extensions?
John Evans: I will take both those questions. There is a definite synergy between the Subsea 7 oil and gas business and Renewables, and in particular on the very large EPCI contracts. Seaway 7 runs itself as an installation contractor and totally targeted towards Renewables. But when they take the very large contracts on, which needs a very large engineering, procurement and expediting capability, that comes from Subsea 7. So we move staff backwards and forwards between the 2 divisions. We're very clear that we want to keep our energy transition business shown separately just to allow how it progresses in the market to be clear to our investors. It's a market that's growing. It's a market that will adapt and will change, and it's one that we want to keep separate. But we do move people primarily across and processes across, and in the past, we have used the Borealis, for example, to supplement on some of the lifting. In terms of the PLSVs, I think we mentioned at the last earnings call, Petrobras have their next 5-year plan due to be issued to the market in August of this year. They tell us they're on schedule for that. And once that has been published, which will then give a better understanding of their future needs for PLSVs, they told us that they will be continuing their engagement with us. So I would expect, hopefully, in Q3, we should see some progress on that front.
Operator: Our next question comes from the line of Amy Wong from UBS.
Amy Wong: A couple of questions from me. The first question is a bit of housekeeping, just related to the losses in Renewables have you left this quarter. I understand that some of it is related to additional costs related to the incident. But can you give us some color on the amount of hit you took in this quarter? Or help us understand, absent those costs, if the division would have turned a profit in this period?
John Evans: Thank you, Amy. I'm not going to give specific numbers, but just to sort of scale it for you. The Renewables division, the Yunlin was idled during the quarter, and she did a bit of work towards the end because she's working in Taiwan. So Taiwan is a bit spotty for work. It starts and it stops on short duration projects. But that's the first phase of development in Taiwan. And we felt strategic, it was important to have an asset in Taiwan there for that front. Secondly, then we took our cable lay spreads from the U.S. and moved them into Taiwan, so we should be working in Taiwan in Q3. Lastly, then the impact on Triton Knoll. We had an incident, it delayed the Strashnov by about 3, 3.5 weeks. But also we have a tight environmental stock on that project where we cannot get access beyond the end of August. So we bought a third-party subcontracted heavy-lift vessel in to work in parallel with us. So we mobilized another vessel and put that to work. The 2 are working in parallel at the moment, and we're pretty confident we'll complete the project on time. So it has had an impact in terms of needing to bring another asset in, and there's some learning there for us from a process and procedure viewpoint that we're learning and taking into the main business.
Amy Wong: So perhaps just a follow-up. Like, as you mentioned, there's a bit of a learning curve on these. Like when you think about and bid for these projects, are these learning kind of now being incorporated into your margin outlook for your portfolio of Renewables business?
John Evans: Well, I think, like all fixed-price contractors, everything that we learn of every previous job, we try to take into our future outlooks. This was more about, a lot of this work is very, very repetitive. And it's the discipline of checking, double-checking and triple-checking before something happens. The incident revolved around a final check on a lift not being complete. And when we thought all the pins have been retracted, one pin was still partially in place, and that had an impact.  So again, Renewables is a lot about discipline with a highly repetitive piece of activity. And I think that's slightly different from oil and gas. Oil and gas, there's quite a lot of unique activities. So I think the learning for our industry is the care and attention and real attention to detail that needs to take place has to be done hundreds and hundreds of times in Renewables, whereas in oil and gas, it might be done half a dozen times doing a set of activities. So there is learning, and we're taking that on board.
Operator: Your next question comes from the line of Kevin Roger from Kepler Cheuvreux.
Kevin Roger: I'm sorry for that, gentlemen, but it will be, once again, focused on the Renewables activities. Just to follow up the question of Amy, maybe it's a bit disappointing to see that this quarter, the Renewables EBIT is once again negative. In your mindset, when should we expect to have this division, let's say, a bit positive or in other way, if we exclude the extra cost that you experienced because of the accident, would you have been EBIT-positive this quarter? And the second question is more long term. You have been very successful recently looking at the, at fixed foundation, but we are more and more talking about the floating offshore wind solution, what would be your position and strategy on that side, please?
John Evans: Thank you. I think on Renewables, we do expect that next year, we will be seeing a better result from that business. We've been made very clear, I think, to, in all our analysts and quarterly results that it is a market with a lot of competition, a lot of people trying to find their feet in that business and also a lot of intermittency between different parts of the world.  So we've seen what was a Northwest European pretty steady business expand considerably, with operations running in 3 different geographies at the same time. Next year, we'd have a bit more stability, we believe, with a lot of European work. So we expect a better performance from the business in 2021. In terms of floating wind, you are correct, there's a lot of interest in floating wind, and we continue to be very interested in floating wind, and as you might be aware on Hywind, on Tampen Hywind for Equinor, we have been selected as the cable lay contractor there, so the next big floating wind project that physically goes into the water. We once again will be a contractor there working on that work. We have a small investment in a French floating wind company, noncontrolling, but we have a floating wind investment again, which allows us then just to understand the technology and what's going on in it. We don't control our business, but we have a small share in it. So again, of course, we are keeping a very close eye on that segment. The important thing, I think, is though that, again, our clients are still telling us that the very vast bulk of work in the next 2 to 3 years is in the fixed wind arena, and that's where we're concentrating our near-term work on, but we do see floating wind coming into play. And again, we'll be part of that when it arrives in the market.
Kevin Roger: Okay. And just maybe to come back on the first question, if you adjust your performance this quarter for the accident that you're experiencing onboard, things like that, will you have been a bit positive on the Renewable division or still negative?
John Evans: As I said to you, we had an idle time, one of our assets in Taiwan. It's not really representative of where we want that business to be in the longer term. Longer term, we need our assets to be working and geographically placed so that they're not moving around. So I think, as I said, I would expect to see '21 being a more representative view of what that business will be in due course.
Operator: Your next question comes from the line of Sahar Islam from Goldman Sachs.
Sahar Islam: Two for me, please. Firstly, could you give us a bit more color on the utilization you expect for the fleet in the second half, particularly for the larger global enablers? And then secondly, I mean, you've always done a great job on the cost savings. Are you starting to hear clients asking to get price deflation on any of the upcoming tenders to share in some of these savings? Or do you think pricing is holding flat for new projects?
John Evans: I guess, utilization for us, it's, we're comfortable that we have a plan that balances our fleet with our utilization in the second half of this year. The big assets are busy. The big pipe layers have work ahead of them. The Vega goes in to work and she has worked well into '21 and into '22. So at the moment, we're pretty comfortable that we're cutting our costs accordingly and we have the right fleet balance for where we want to be. On the cost saving, we are seeing the market such that our clients are expecting those cost savings to be baked into their new, the new awards. We haven't seen that much awards as yet in the new environment that we're in. One thing I would say though is that the supply chain took quite a beating last time. And a number of players fell, by the way, so the ones that have stayed in the business, they're also making it very clear to us and to our ultimate clients that they need to make a reasonable return in the business. So again, I think it's going to be very important here that we remember that cost savings are not easily to attain because COVID-19 has impacted our supply chain as much as it impacted us. We're also seeing, of course, that there is an ongoing cost as we declared in this announcement here, about $30 million for us this quarter. So again, I think clients are clear at the moment that they need to recognize that there won't be immediate huge cost savings in the industry.
Operator: Your next question comes from the line of Vlad Sergievskii from Bank of America.
Vladimir Sergievskii: Just one to John. With the recent award in wind farm, you are probably getting close or close to full utilization for your vessels in '22 and perhaps 2023. Are there any signs that this wind farm installation market is starting to tighten a little bit and maybe potentially leading to some additional pricing power here? And then two housekeeping questions to Ricardo as well. Just one, have you used any furloughed labor-support team in the UK or Norway in Q2? And if we ask them what was the impact on the P&L from those, if you can quantify? And secondly, the big improvement in working capital in the first half came from the liability side. Was there any meaningful prepayments, which assisted during the first half? And what is your outlook for working capital dynamics in the second half of the year?
John Evans: So Vlad, I'll ask Ricardo to answer the financial questions first, then I'll come back to the wind.
Ricardo Rosa: Okay. Good afternoon, Vlad. In answer to your first query regarding support for labor costs, I mean, we've indicated that in this last quarter, we had $30 million cost, COVID-related impact. I mean that is net of any form of subsidy or assistance we may have received from the various governments. But I do want to emphasize that the amounts we're talking about are immaterial. We did have some people that were on furlough, for instance, in the UK, and others who've been on short-term working, but the impact would not have significantly affected our results in the first half as well as the second quarter. With regards to working capital, I think two comments there. First of all, yes, it's true that our liabilities increased quarter-on-quarter and since the start of the year. And part of that is attributable to the restructuring charge that we took, most of which is for liabilities that will crystallize in the second half of the year.  But I think we also had some significant successes in reducing our receivables, and our receivables balance or other assets, net other operating assets, has come down significantly, if you look at the notes to our financials. And that is a function of the efforts that we have been focused on, collections, some settlement of long-standing receivables that we were successful in achieving, and we are hopeful that in the second half, we will continue that trend.
John Evans: And Vlad, to take your question on wind farm work. I think you're correct in saying that we have picked up a good quality backlog there in wind, which will mean our own assets will be utilized pretty heavily. We see good utilization on our wind farm assets. And as you might have seen an announcement, we are bringing in Saipem to subcontract the installation activities on Seagreen because we are busy with our own assets on Hollandse Kust Zuid. One thing I think we see in that business, and we've been part of it for a number of years, there's a lot of subcontracting in the wind business. We have subcontracted to Jan de Nul and Dana in the past. And they are subcontracting to us on Triton Knoll, Dana, at the moment. So there is a capability to bring 5,000-ton lift cranes backwards and forwards in the contracting arena there, far more than you see in the oil and gas space. There's a bit more uniformality of what the assets can do. So for us at the moment, we'll continue to bid in terms of capacity until we feel comfortable that we've got a good quality backlog into '21 and '22, but there will be some elements of subcontracting there.
Operator: Our next question comes from the line of Sasikanth Chilukuru from Morgan Stanley.
Sasikanth Chilukuru: I had 2, please. The first was, again, going back to the Renewables and just following up to the comment that you just made up. I was just wondering whether Subsea 7 has the capability right now to handle another project of the size of the, as the Seagreen in the near-term or whether you would want to expand this, the Renewables business, further before you pursue another contract that has the size of Seagreen? The second question, I just wanted to just talk regarding the COVID-19 impact there. If you, the cost impact that you had in the first half, what you have seen in July? Have things improved materially and whether, so far in this quarter, have you seen any impact related to COVID-19?
John Evans: Okay. I guess the first one, going back the way, we've always had a view that it would be useful for us to pick up one large epic contract the size of Seagreen every 2 years. So we do not foresee another Seagreen coming in. And part of my prepared remarks said that the bids that we see in the future for us in Renewables are smaller contracts, potentially integrated transport and installation of cables and foundations, but certainly not looking to take another Seagreen. The number of people and the amount of resources we need to handle those has a sort of finite size in which we can do those, and we wouldn't want to be taking too many of those. But we have, you need to remember the ability to install foundations and the ability to install cables, we have different capacities for those. And we will want to make sure that they're reasonably well utilized with a good market that we have ahead of us. In terms of COVID-19, I think the answer to COVID-19 is we've seen it spread from East to west. And it's still a handful in the U.S. and still a handful in Brazil at the moment. So I don't particularly want to talk about where we're at because day by day, things change. We have protocols and systems for handling it. We have all our testing regimes and quarantine regimes in place, but all it needs is one case in one of our vessels, and then it all goes back the way. So at the moment, I think it's too early to say that we're through it. We'll give you by each quarter what hit us. But we're reasonably comfortable that we have a method of handling it. Ricardo declared the cost each quarter, of what it is, and we have a way of measuring those costs so that we have a good understanding of where they're at. So I guess the takeaway is we can manage COVID, but it cost us some money.
Operator: Our next question comes from the line of Michael Alsford from Citi.
Michael Alsford: I'll actually turn it back to the oil and gas business and just ask a little bit about the pipeline you see for Norway. It's one of the areas that you mentioned in your prepared remarks where there was a bit more momentum given the tax changes recently. And I just wondered if you could give a sense as to what you see as the tendering pipeline for Norway activity over the next 12 to 18 months. And perhaps with that, where you see yourself differentiated, I'm thinking existing alliances and all your technology offering that perhaps differentiates you relative to the peer group?
John Evans: Yes. Thank you, Michael. Well, first of all, I think Norway, along with the U.S., as I mentioned in my prepared remarks, are still areas where there's activity there. The tax break has certainly made a difference to our key clients in Norway, in my discussions with Equinor and Aker BP senior management. They are very clear that, that was a very positive step the Norwegian government took. Equinor have a number of projects that they'd like to bring to market.  And the good thing there is that NOAKA, which is one of the huge field development projects, which has been sort of held up between a, a dispute between Equinor and Aker BP as to who should lead that. There now is agreement between the two players. So we'd expect to see NOAKA out into the market, probably in two packages, an Equinor package and an Aker BP package. In terms of Aker BP, they have plans, which they're now accelerating on a number of their projects, to gain advantage of the tax break, and they also have their share of the south part of NOAKA coming into the market. Lastly, in Norway, I would like to say something I have touched on very briefly. Equinor have this project called Northern Lights, which takes the CO2 from a cement plant near Oslo, scrubs it using onshore-scrubbing technology and then a new onshore, offshore pipeline, onshore and offshore pipeline that takes the CO2 and sequestrated in an old oilfield offshore.  Again, for me, a very positive sign that this is a technology step change that has to happen with energy transition, companies like Equinor and Norway is creating the environment for the first pilot projects to take place. So we'll be bidding that work, hopefully, before the end of this year. So overall, I think Equinor have a portfolio, Aker BP have a portfolio. And I did a performance review with the CEO of Wintershall a couple of weeks ago, and again, they're dusting down their prospects there as well. So again, I think it's very important that Norway has a plan ahead.  So Norway, I think, will be different from other parts of the world. But also Gulf of Mexico, we're still seeing a lot of progress there. Chevron has projects moving ahead. People like Murphy are moving ahead a number of their projects there as well. So we would expect to see some Gulf of Mexico opportunities come, hopefully, in the back end of this year or early part of next year.
Operator: Our next question comes from the line of Nick Konstantakis from Exane.
Nick Konstantakis: Just a quick one from me, actually. Given the vessel, the chartered one for you you're returning to the owners, what could we expect the lease payments to trend in 2H and into next year, please?
Ricardo Rosa: Nick, I think what we can say about the charters is that the ones that are under consideration are charters that are not necessarily long term. We have no plans for early termination of those charters. We will be reviewing them in the light of activity in the coming months. And if there is no activity to justify the continued commitment, we will not renew them. So we're not expecting any significant penalty charges to hit the hit the financial statements. It will be a gradual outlook.
Nick Konstantakis: Sorry, I wasn't asking as much as that as in, if those come to the natural termination, what do the annual or quarterly lease payments get to? That's I guess what I'm trying to get to.
Ricardo Rosa: I think we don't disclose that information, that's relatively commercially sensitive. What you can do is have a look at our cash flows to get a sense of how much we disburse each quarter for all forms of lease. And I can say that the largest proportion of that is in relation to vessels.
Operator: Our last question comes from the line of Erwan Kerouredan from RBC.
Erwan Kerouredan: Two, please. First, on Renewables. So you mentioned on Slide 4 that the strategy remains broadly unchanged, but given the current strength in the tendering market, can you, could we expect a shift in CapEx mix in 2020 or further out 2021 with further investments towards Renewables? That's my first question. And the second question is on COVID. What are the odds of costs lingering in 2021? And you also indicated that the $30 million impact was roughly split to onshore, or towards onshore and offshore, is there any difference in impact in the foreseeable future on onshore and offshore with potentially one recovering quicker than the other? These are my questions.
John Evans: Maybe, Ricardo, you can cover the COVID one.
Ricardo Rosa: I'll cover the COVID question. I just wanted to clarify the misapprehension there. I think the significant majority of COVID-related costs are incurred in relation to our offshore operations. I mean to give you an example, in the second quarter, we quoted a net impact of about $30 million. A lot of that was in relation to vessels that were idle, for instance, such as the Seven Sun, which was held up in Brazil for a while, as well as the friction costs associated with crew changes, for instance, where we have to mobilize more people, they have to stay for a period of quarantine in hotels. Arguably, those hotels are onshore costs, but they're related to our offshore operations. So really, the bulk of the cost that we are incurring is in respect of our offshore operations. We include comments on onshore because there is, there are marginal impacts, and we also benefit, to a small extent, from government subsidies and support. With regards to 2021, I go back to and refer you to the comment that John has made. Really, I mean COVID remains one of those uncertainties going forward. You know as, probably as much as we do as to whether or not it will linger on into 2021. We just tailor the way we approach our contracts and work with our clients to cater for that risk and the impact it may have on our operations.
John Evans: And just taking your first question regarding investments in Renewables. I think our aim in the next few years is to minimize the amount of CapEx we do as a company. We've got a pretty young fleet in terms of what we do. But we are interested in looking at some of our own gas assets and seeing with some minor CapEx costs whether or not we could put them to become more efficient in that renewable space. So it's not going to be major grand gestures, but we might well be looking at could we increase our capacity in some of the areas in Renewables to support.
Operator: We have no further questions at this time. Please go ahead.
Ricardo Rosa: Well, thank you very much. Thank you for joining us for our Q2. I appreciate all your questions, and we look forward to talking to you off-line, and we'll meet you again, hopefully, on our Renewables day in September or if not, we'll talk to you again on our Q3 earnings. Thank you very much.